Operator: This teleconference is being recorded and the video can be accessed at the site of the company in ri.brf-global.com. The presentation is also available for downloading. At this moment, all the participants are connected only as listeners and then we will start our Q&A session when more instructions will be given. Before we go on, I'd like to reinforce that all the prospective statements have the beliefs and assumptions of BRF and available information for the company. These statements can involve risks and uncertainties having in sight future events and then they depend on circumstances that may or may not happen. Investors, analysts, and reporters have to take into account that events related to macroeconomic, environment and other segments may make the results to be materially different from those expressed in the respective statements -- prospective statements. In this conference we have Mr. Miguel Gularte, CEO and Fabio Mariano, CFO. I would like now to give the floor to Mr. Miguel who will start the presentation. Mr. Miguel, you can go on.
Miguel Gularte: Good morning. I would like to thank the presence of everyone in our teleconference of 2024. BRF presents today the best performance in its history, concluding 2024 with a consolidation of our journey of efficiency. We evolved in profitability and in the main operational indicators. Delivering a record year, we report EBITDA of BRL10.5 billion in 2024, the most significant since the creation of BRF. The figures that we will discuss today are the result, the outcome of a consistent work that began over two years when the company started to operate under the new strategic direction. The company's return to its current leading position was supported by several factors. We saw efficiency gain in all work fronts. We increased volume sold with an emphasis on the value-added portfolio and grew market share. These factors, combined with efficient commercial execution and the expansion of definitions made a significant contribution to the performance of 2024. I'd like to invite now our CFO Fabio Mariano, for the earnings results in details, and I'll come back later for final remarks in this disclosure.
Fabio Mariano: Good morning, everyone, connected. I would like to go to the first page. The main 2024 indicators started by net revenue which reached BRL61.4 billion, 14% higher than 2023. We reported EBITDA of BRL10.5 billion, the result -- the best result in our history, more than twice the performance of the previous year, contributing to a net profit of BRL3.7 billion for year. Free cash flow performance was BRL6.5 billion, an all-time record. And in the slide with leverage, we reached 0.75 times EBITDA in the last 12 months versus 2 times in 2023. The slide also shows the data of the fourth quarter with a substantial improvement in performance if compared to the same period last year. In the next slide, which shows Page 4, the historical evolution of volumes in 2024 of revenue and profitability, highlighting very healthy margins. We've reported a gross profit of BRL15.8 billion. We will now present the performance per market and business segment. Starting with Brazil, we continue evolving progressively, achieving an EBITDA margin of 15.5% with growth and volume, especially in process categories product and -- which showed an increase in sales and gains in market share. The next page, number 6, we emphasize our journey of continuous evolution in commercial execution, reflecting a greater number of points of sales that were served, more space and stores, as well as a greater adherence to suggested prices, elements that boost volumes and contribute substantially to the performance of domestic market. We led innovations that meet the needs of our consumers, celebrated brands anniversaries and promoted new campaigns and sponsorships that referenced on the preference and leadership of our brands. On the following slides we bring information on commemorative products campaign, execution with record sales and the lowest historic level of surplus inventory. We have established ourselves as leaders in the Brazilian Christmas season products. Now in the international market that we present, we observed the segment's operational evolution as a result of high levels of exportation prices as well as a good performance in Turkiye and the Gulf area. EBITDA margin exceeded 20% in 2024. In the next slide, we highlight the growth of volumes and share of processed products in the halal markets and total sales. We launched new products expand in the value-added portfolio in the region. In Turkiye, we also recorded good performance with a growing contribution from sales of processed products which have now reached approximately 25% of participation in volumes. We maintained our market share leadership with Sadia and Banvit brands in their respective markets. On the right, I present the highlights on the direct export segment. We have expanded our business alternatives with 84 new permits in the year for various several markets helping to maximize prices. There have already been 175 new export permits since we began to focus more on these aspects under monitoring the BRF+ program. I'd like to finish the presentation of the business segments on the next slide with the performance of ingredients and pet products. The segment reported BRL422 million in EBITDA. We recorded a greater share of value-added items and ingredients and an increase in volumes in pet products and other sales. Also in pet segment, we highlight the increased participation of super premium natural category, new commercial export agreements as well as integrating management systems and strengthening leadership teams. In ingredients, we continue diversifying products and markets. We also announced the agreement to acquire 50% of Gelprime to enter in the segment of gelatin and collagen. Then, I'll share the progress of our efficiency program. I will present the comparisons with the previous year colored bars in gray. The comparison with 2022 can also be seen in this material. I will comment on some highlights, such as the fall of feed conversion of poultry and pigs by 2.1% and 1%, respectively, in agriculture and livestock industries, and the industry increased the manufacturing yield of poultry and pigs by 1.5% and 2.4%. And logistics, we've reduced returns and raised the service levels in Brazil significantly. On Page 13, we consolidated the following sustainability highlights. Climate targets approved by science-based achievement of the target of 100% traceability of grain suppliers, certification of animal welfare in all BRF slaughter plants, reduction of more than 11% of water consumption, and 50% of electricity needs already coming from renewable sources. Consecutive participation in ISE and ICO2 portfolios, and finally, active social responsibility agenda with over 6,000 participants in the BRF Volunteer Program. We now present on Page 15, information related to capital structure of the company. On the right, we see the leverage and decline on that debt. On the right, we can see the debt profile, which remains diversified and long with no concentration of repayments in the short run, and liquidity position that is fairly comfortable. In the next slide, we show the free cash flow. The chart shows an operating cash flow in 2024 of almost BRL10.8 billion, the best operating cash flow in our history. An investment flow of BRL3.3 billion and a financial flow of just under BRL1 billion, resulting in free cash flow over BRL6.5 billion. You can also notice in the smaller chart, cash generation over the year. In the final slide, we can analyze the progress of net debt between 2023 and 2024. We have reported net debt of BRL8.3 billion after return on our own capital. The reduction in loans will continue contributing to lower interest charges in 2025. I would like to thank the audience. And then, now, I give the floor to our CEO, Miguel Gularte, for his closing remarks.
Miguel Gularte: Thank you, Fabio. To wrap up our presentation on earnings, I'd like to point out that the excellent performance this year was driven among other factors, by the continued operation evolution, by the strength of our brands, and an assertive launch and innovation strategy that was very assertive. This year we celebrated the 8th and 9th anniversaries, the brands Sadia and Perdigao consolidated as leaders in Brazil. Also in the domestic market, our commercial execution contributed directly to a historic performance. We reached 327,000 customers served. Besides, we also confirmed our leadership on commemorative products with record sales and an increased presence in Brazilian households. In International segment, we reached historic levels of profitability. We continued our market diversification strategy and increased the share of processed products in the portfolio. I would also like to highlight BRF+, our efficiency plan which has already been incorporated into the company's high performance culture. Since its launch in September 2022, the program has captured approximately BRL4 billion in operational efficiencies which were critical to strengthen in our businesses. This year's results scenario was marked by net profit and EBITDA that was unprecedented, allowed the BRF to once again compensate their shareholders with interest compensation on our own capital on equity. We ended 2024 with exceptional results in the management of our team, showing the lowest rates of absenteeism and turnover which reflect the best results in the annual engagement survey, that which is essential for a company with and 100,000 people. We began 2025 driven to continue the company's journey of evolution with efficiency, agility, and simplicity, opening a new chapter of growth. Today, BRF is a solid company prepared for various scenarios and challenges. We will continue to focus on diversifying markets through new qualifications and maximizing revenues. We will continue to work to generate value and consistent returns for shareholders through financial disciplines and investments in sustainable growth. Additionally, consolidating high-performance culture and valuing our people will continue to be our company's premises. I would like to take this opportunity to thank all of our employees for their commitment and dedication throughout the year. I conclude now by thanking our Chairman and Controller, Marcos Molina, for his decisive strategic direction to the Board of Directors for their support, to our shareholders for their trust and our customers, integrated producers, suppliers and the communities where we operate for their ongoing partnership. Thank you all.
Operator: [Operator Instructions] Our first question comes from Natalie [indiscernible] from XP. Please continue.
Unidentified Analyst: Good morning, Miguel. Good morning, Fabio. Good morning, everybody. I would like to congratulate everybody on the results and these record-breaking results as well. I would like to explore a different dynamic for 2025. I know it's difficult to talk about that, but I would like to understand your perspective. I see that, in 2025, we have a cost scenario that starts in a more challenging way. Maybe the cost pressure might be a bit challenging, but when it comes to inflation, I believe that we will face some hardships as well. I believe that this year started with some pressure. Do you think that this inflation scenario can show some estimates that you had concerning processed products or added-value products that deepen a little bit more economic growth? Is there a favorable correlation? Do you still have this perception that these value-added products might perform better in more favorable consumption scenarios? By the way, when it comes to the international segment, you could think a little bit about that, but when it comes to supply and demand offers, are these more positive or not? Do you think that 2025 can be a better year compared to 2024, considering everything that is happening in the United States, that could open more opportunities to you? We have this mix, 50/50 in Brazil and in international segment. I know that in Brazil we have this different segment in a more solid scenario. If you could put some -- add some context for us to see it in a more tangible way to see whether the mix can impact you? So, that would be my first question. And second question, just a follow-up of something that you showed. When you talk about BRF+ 2023, it was a year that was very interesting in 2024, again through different captures, so what we -- what can we wait for 2025, since this is a very interesting project, and now, this has become a much more internal discussion inside the plans? And a recurrent question that we ask about this, where can we eventually see the effect of BRF+ now that it grasped a bigger part of the inefficiencies? These are the two questions that I have. Thank you.
Miguel Gularte: Good morning, Leonardo. I will start the answer, and Fabio will help me. I believe it's important to -- I mean, before saying anything about 2025, it's important to perceive that what we were able to achieve as a team or as a company, this is still valid for the upcoming years. BRF has a huge capacity of processing and receiving good pieces of information. Accessing good pieces of information we can make great decisions and take advantage of great opportunities. We will continue focusing on that because time and again it's very clear that a company that has great information, it only turns that into results if they have efficiencies and if they can grasp these information. This will keep happening in BRF. We were able, of course, take into account our analysis system and we've been able to achieve greater positions and our company was able to react facing different challenges. In our sector, we know that things vary on a daily basis. About BRF+, before continuing about 2025, it's important to say that BRF+, it's a program that is going to progress continuously. So the more you prove the amount of opportunities they decrease, but it doesn't really decrease the quality of our opportunities. I would say that more than ever, BRF+ has become a performance program as well as a cultural program. So we are confident that in 2025, and the upcoming years, we will be grasping opportunities that we are preparing now and we are mapping them now as well. When it comes to 2025, then obviously we start the year in a very good shape concerning volume and market diversity. We have this cost challenge. Fabio will say more about this now, but I can say that we are prepared to work with the scenario that we see before us. January was very strong and it's very important for you to really be in a good shape in the beginning of the year. January and February are challenging months. People go on vacations, they spend more money towards the end of the year and obviously this takes a toll on the consumption during the beginning of the year. This is not what we have been experiencing in this beginning of the year. January started very strong, February is going well. And yes, in your question, you mentioned this and we are 100% aligned, value-added products and strong brands like BRF without a shadow of doubt, they present more resiliency and they navigate better in a challenging scenario. But now I will pass the floor over to Fabio and he will say a few words about the end of the year and what happened in 2025.
Fabio Mariano: Thank you, Miguel. Good morning. Well, about the costs, it's important to highlight that we had a non-recurrent effect on the last quarter, considering some goals that the company had when it comes to the new management and -- but all these other objectives were met according to what we were able to understand. So we made some provisions concerning some compensation that would be variable in all the workforce, and this affected the cost of the industry professionals and the livestock professionals, but it also had an impact on the different administrative lines and revenue. And when we project 2025, we need to eliminate these effects, these non-recurrent effects that in a combined way with the [PRLR] (ph) provisions, combined with the productivity of the company and also knowing that we have a different mix in the fourth quarter, especially when it comes to Brazil due to the holidays. So we -- structurally-wise, we have to think about the input costs that also are connected to the exchange rates when it comes to some services or some ingredients, or the freight or the agricultural commodities as well. The bottom line, Miguel, is that we see a favorable scenario when it comes to the protein prices, a scenario that we've experienced during 2024. So we expect to go through this in 2025. You offered -- you mentioned offer and supply, we see this scenario in a balanced way, and I think it's -- this is valid for chicken and pigs -- poultry and pigs. You also mentioned the processed products and value-added products. We see a favorable consumption environment for Brazil. We have the volumes of the categories that the company leads in a very confident way, especially considering the confidence of the consumers. Nowadays, we have a high level of trust from our consumers, so we have performed very well. And January started in a great shape. January's volumes priced our own expectation, so we expect to compensate the cost structural effect, working a lot on our revenue, on our price basis, thinking the price that we present to the customer, also to our customers to the consumers.
Unidentified Analyst: Okay, I guess it's 100% clear. My connection was a bit unstable, but yes, it's 100% clear. Thank you so much for your answer.
Operator: Our next question comes from Lucas Ferreira from JPMorgan. Please, the floor is all yours.
Lucas Ferreira: Hello everybody. Two questions about pricing. The first one related to processed products in Brazil. I believe that they -- usually we raise the prices in the beginning of the year. If you could comment about this element in the industry from what Fabio said, volume in January. So I believe there's a good elasticity from the consumer. But do you see that there's room for new raises or the raise that you expected to go about in the beginning of the year, does it cover the whole portfolio of processed products or do we have to explore this a little bit more? And if you could also put your ideas forward with regards to the international segments, especially when it comes to poultry and pigs in the main markets, from what I see here from the [indiscernible] data, the average prices of poultry they've been dropping around 8% or 10% of the peaks that we saw in the last of the third quarter. So if you could see a reason about that, if it's just something related to mix or exports, goods or market mix, if you could comment a little bit for us to understand, at least in dollar, right, the prices are a bit lower compared to the last -- the third quarter. Thank you.
Miguel Gularte: Good morning, Lucas. I will make some comments with regards to the domestic market. Then I will pass the floor over to Fabio. So we have observed this balanced relationship between offer and supply that makes us perform very well when it comes to price compared with the international segment. Something that is very relevant to us. We have Ramadan -- pre and after Ramadan, so the consumption was very strong. When we look at [indiscernible], it's important for you to isolate the mix effect that has a responsibility share on this decrease. And when we have an exchange appreciation, you see a reduction in the prices that are performed in different markets. When it comes to the current point of view, we start seeing this inflection happening. This started in January and we see it continuing in February, however, with good expectations. Obviously, this is in a -- we are trying to recover what happened in the third quarter, but we've been trying to experiment in this effect on the first quarter.
Fabio Mariano: Good morning, Lucas. I guess when it comes to Brazil, it's important to mention again the expectation for the consumption environment. So the processed products business is very much influenced by demand, much more than the offer. So in that sense, the year started very well. As I've said, we have a good expectation when it comes to performance of volumes of the first quarter as well as the other ones. When we talk about price strategy, I think we cannot really say that there's only one action that takes into account the entire territory of Brazil. We have different strategies. We know that we have different players considering different states and regions, so we've been monitoring all the indicators and we will adopt these strategies, respecting the different characteristics of the different markets when it comes to maximizing not only the revenue but the profitability of these elements. It's important to highlight that we are very much focused on [Technical Difficulty] so we start to mentioning the penetration of the local sales points. The different room that we have in different stores. The adherence of the prices considering the different players and this has a big impact on the final decision of the consumer, and of course, considering the strengths of the brands in our portfolio.
Lucas Ferreira: Thank you so much.
Operator: Our next question comes from Gustavo Troyano. Okay, you can ask your question.
Gustavo Troyano: Okay, thank you. Miguel and Fabio, thank you for your questions. There are two topics here that I would like to explore with you. The first one connected to BRF+ that was mentioned before. What I would like to hear from you, Miguel, is for you to try to contextualize our current scenario, considering efficiency, maybe contrasting with some levels that you've operated before, it would be important to know whether you achieved all the historical benchmarks. Maybe is there like a high track record or is there any room for improvements? But I mean, it would be interesting for you to talk about this when we take a look at our history. What could you highlight nowadays in terms of operational efficiency? The second topic connected to capital. And I believe this would be more directed to Fabio if you could recap some of the breakeven expectations for 2025. And when it comes to the expansion CapEx of this strong cash generation that the operational context implies, it would be interesting to hear more about the upcoming projects that make sense to you -- something related to interest as well. If there's anything that stopped making sense, it would be very interesting to hear more about this. When it comes to the expansion project, what will be prioritized considering the figures that you will put forward here in your answers? Thank you.
Miguel Gularte: Good morning, Gustavo. Talking about BRF+, let's remember that when we started the project, we had a -- 2019 as a reference, 2019 was the target, this bench -- historical benchmark that showed the year with stability and reasonable performance test, this was our starting point. And this target, we left this target behind -- I mean, I'm trying to answer your question right, but we have achieved the benchmark chosen at that time and then we changed the target. We established new targets with a more challenging scenario. And after we determined the starting point, we established a different landing point for us to finish this journey. And answering your question with regards to the future, here in BRF, we have -- at this position, considering our best performance and our worst -- not worst, but a little worse performance, but in between processes and in between plants, we still have room for improvement. So BRF+, it's a continuous improvement program and it's expected to see better results because now, I mean, we have changed it since last year, this was it, but in 2025 we'll keep changing it. We are not taking into account the starting point, but the internal benchmark of each one of the operations and processes geographies that we have here in BRF. And then we are measuring this and working on this. Another important aspect is that BRF+ not only changed its name BRF+, its BRF+ Together. Because we have been working a lot on the synergy and the synchrony of the different areas of the company. The company is not going to have a growing performance if we're only talking about excellence islands, we have to improve the sectors as a whole. They have to be connected and they have to support one another. This is what we have been focusing on for 2025.
Fabio Mariano: Good morning, Gustavo, addressing now the question related to capital structure, as you mentioned, breakeven, I think it's important to highlight that free cash generation of the company in 2024 had an excellent conversion of EBITDA, over 60% converted in free cash. Obviously, this has a combination of two elements. The performance of the operation as a reflection of EBITDA itself, but also the reflection in financial lines because of the debting that is regressing. And as an outcome we have less interest charges. The financial issue, structurally, it favors an environment for 2025. We have net debt that is reducing marginally because the company has the capability of generating cash constantly in the evolution of quarters, what you already mentioned that should happen, it is the company allocating resources for expansion projects. There has been an important growth in volume, especially in Brazil and processed product categories. And these sped up the use of our plants and facilities. And the idle parts are now being used. So, it's important to direct resources so we can expand capacity and take opportunity of capturing revenue associated and the demand that in our view is going to continue steady and solid. What I can anticipate is that we have good projects. It doesn't mean that the projects are going to be approved. It will depend on a lot of criteria. If projects really reach the requirements of economical and financial viability, they're going to be executed. There are numerous projects. It's not guaranteed that they're going to go into something more concrete. But we have to get the strategy of the company investments in projects that increase the capacity of production of processed products. So some categories are priority. I can mention frozen products and dairy or curd products.
Gustavo Troyano: Okay. Thank you.
Operator: Our next question comes from Thiago Duarte, BTG Pactual. Your microphone is released, Gustavo.
Thiago Duarte: Thank you. Good morning, Fabio, Miguel, everyone. It's a pleasure to talk to you. I would like to focus on the discussion of two questions in the operation in Brazil, and you mentioned a lot about demand and process products participation and the strength of the brands. I think this helps explain the top-line dynamics that is good in the quarter, in the year. You mentioned a little bit about the beginning in 2025, but I would like to hear a little bit from you. What leads to a sequential drop of margins in Brazil in spite of seasonability, especially in the past, you commented about regular portfolio and contribution margin of this portfolio, even the four prior quarters when you have a seasonal mix. If you could mention a little bit what lines that eventually that was not the seasonal mix that was bad. I understand that something in the regular portfolio somehow the margin drop sequentially, but still good, but it falls, it drops sequentially. If you could talk a little bit about your mix of either natural products or mixed of processed products, where we had -- where we have the big drivers for this sequential margin drop. That would be my first question. And the other question now in a discussion that is more in the long run, you are talking a lot about the strength of the brands and some interesting comments about preference, top of mind, et cetera. We saw last year the company recovering market share of process products in Brazil, I think that for the first time since the merger, if I'm not wrong, I would like to hear from you a little bit where you understand that it should be the fair share of the brands of the company. The brands that today are receiving investments again to understand -- how better you understand that this market share can recover now that you have started this better cycle in 2024 and having inside market participation. Those would be my questions.
Fabio Mariano: Thank you, Thiago. Good morning. I'm going to start by answering the first part that is related to the drop of margin -- sequentially drop of margins. Firstly, I state that this got nothing to do with prices, is much more to do with the cost side of thing. I commented, I think in the first question that we have an effect that is non-recurrent effect related to a concentration of provisions and variable compensation which was the objective associated even to the story of the turnaround of the organization that were calculated at the end of the year. This overloaded a little bit the cost line in the quarter and also overloaded the expenditure line because this involves all the workforce. This combined with provisions of PL correlated with profitability of the company. That means we have BRL3.7 billion of net profit. So we have agreements, union agreements related to PL there. There was also a disproportional, let's say, a concentration in -- a bigger concentration in the fourth quarter. The line had made the provisions in the prior quarters, but the calculations of this net profit line happened at the end of the year. So these two elements in Brazil obviously combined with labor factors that we have highlighted, they influenced in a more relevant manner the margins of the segment. We also talked at the beginning of the year 2025 the possibilities that we have of performing very well. So I don't want to be repetitive in this aspect. So about the second part of the question you mentioned the fair share, let me give the floor to Miguel and he's going to answer that part.
Miguel Gularte: I understand -- good morning, Thiago. I understand that it's very important to understand that market share is an outcome that goes through the exposure of our brands recovery and the relevance of these brands with the consumers, and also very much through commercial execution and operational execution of the company. BRF with the BRF+ program, it launches it with idle lines being used with plants performing below their potential and now performing at their potential, at their best. And now logistic delivering what we sold and the sales force that is driven, engaged, working. So these products get to the consumer in different locations with all the capillarity that is fantastic that BRF already has. A clear example of that, we had it in the fourth quarter of 2024, 327,000 customers. So, all this added makes that the outcome in terms of share come up. We are not pursuing share as one thing. Share is an outcome of this continuous improvement process and all these aspects that we have talked about. We're going to continue working with all these factors. We understand that we have room for improvement in all of them. We can improve performance at the plant, at agro business, logistics, commercial performance, trading performance. We're going to continue taking care of our brands and may -- and honoring the trust that the Brazilian consumer has on us.
Thiago Duarte: Super clear. If I could only do some follow-up on Fabio's comments. From what I understood, if we excluded or adjusted to this concentration on provisions, variable compensation and profit sharing in the third -- the fourth quarter, you understand that the margin in Brazil would normally have expanded quarter against quarter?
Fabio Mariano: Yes. You would have noticed the presence of the portfolio -- the seasonal portfolio of commemorative [ph] products influencing positively the brands as traditionally happens.
Thiago Duarte: Super clear. Thank you.
Operator: Our next question comes from Henrique Brustolin from Bradesco BBI. Mr. Brustolin, your microphone is open.
Henrique Brustolin: Good morning, Miguel and Fabio, thank you for taking my question. I have a couple of questions actually. The first one also on discussing cost. It's clear that there is an element that is not recurrent that we shouldn't think of carrying it over from now on to 2024 related to profit sharing and variable compensation, my doubt is when we look at costs excluding this component, how should we think of the level of fourth quarter as a good pace of entrance for 2024 and from two angles, which is labor costs, which generates a theme that has been discussed in the past quarters, how much of this increase -- wages increase has happened in the operations? This reflects on quarter-- on the fourth quarter, and we could think of that as a clean base without necessarily additional accelerations. And the same questions on grain cost side, considering directionally origination and what you have seen in terms of price in the market, how much the grain cost of fourth quarter is a good reflection of what we should imagine for 2025, at least at the beginning of the year. This is the first. And the second related to growth, it's super clear the organic projects, I would like to hear a little bit more what you have thought about inorganic M&As. We have seen some movements of the company at the end of last year. It's interesting to hear a little bit more about your priorities in the sense from the standpoint of diversification, locations, product portfolio, what could make sense as well. Thank you.
Miguel Gularte: I'm going to start by the second question and then I'll hand it to Fabio. Obviously, when companies like BRF starts, is able to perform within the parameters that we've been performing in 2024. We understood that we started the year of 2025 well positioned. We're going to continue attentive to those projects that make sense. The fact that we are paying attention not only growth, organic growth projects, but also opportunities that come up. These directionals are strategic directions that come from our controller that is paying a lot of attention to all opportunities. And yes, it makes sense for us to place and allocate efforts and resources on those locations where we see opportunities of growth and a payback that makes sense. I would say that a very clear sign of this trend was the last investments that BRF made in the market. If you analyze Sachs data from 2024 from MENA overlapped to Asia in terms of consumption in poultry meat in terms of exportation. So I would say that the choices we made and the guidance we received from our controller and the Board, they positioned us to capture these opportunities that, without a doubt, will continue for the next years. We were all positioned. We started 2025 with a record consumption of pre-Ramadan and we hope that this is reflected in prices. We always have to be controlling the choices we make because these choices are not choices that are either supersized in terms of expenditure of resources, and that they also make sense in the terms of market growth. We have to place our efforts and resources, and what makes sense not only in the short, but also mid and long run. I will hand it to Fabio to add more.
Fabio Mariano: Now answering the first question about cost, you mentioned labor, about probably the fourth quarter being considered a clean quarter. I think you used that term to eventually project it. Just to be super clear, excluding these components of profit sharing and variable compensation, that is clear, but thinking about that, we've removed that, if the level of expenditure, labor, wages is an entrance level for the year, it's clear, yeah. What we can say about labor is it's very much correlated with the projection of inflation. So these effects of the quarter they involve agreements that were negotiated over 2025 in several regions that we have labor that is representative. In 2025, this go-into concept at the same pace, so we are going to have agreements happening over the year to settle inflation of this exercise. So if you consider that you have x projection for 2025, if you consider that these agreements happen over the year, it would be fair to consider that you have, if it were a linear pace, you would have of the inflation impact to adjust the cost of labor in relation to grains. It's important to separate two elements. Currency exchange rate that influenced the prices in reals and origination in Brazil, especially for soy bean and oil, less for corn because of the history, but we have to have this fact factor present because there in currency exchange rate we can make up for the dollar prices for exportation to several destinations. So when we eliminate currency rate exchange -- currency exchange rate, I mean, we are optimistic because we believe that a crop that is representative for the Brazilian platform especially, but for the Argentinian, American platform, we have projections in the case of the soybean crop that they surpass the projections of the market, so we have 174 million tonnes for the soybean crop, it's a record crop. It's a lot of soybean to be harvested in a relatively short period. And for corn we are also betting on the positive crop concentrated on the small crop. Our strategy is going to be very similar to prior exercises of effectively position and harvesting periods. This is important to highlight. We have a growth of global crop of '25 versus '24. This is a positive factor for input prices isolated, as I already mentioned, as the currency exchange rate factor.
Henrique Brustolin: Very clear, Fabio and Miguel, thank you.
Operator: Now, our next question is from Isabella Simonato from Bank of America.
Isabella Simonato: Thank you. Good morning, everyone, Fabio, Miguel. A question -- I have two questions, the first one in regards to growth and especially inorganic growth. I think since the last call in the third quarter, we announced two acquisitions. If you could give more details about probably what we can project, what we can expect from these assets that were acquired either from the standpoint of revenue or some reading on profitability, I think it's important for us to be able to contextualize and eventually start to see this in the results. This is the first point. And the second is in regards to international market, when we looked at the EBITDA delta reported in 2024 against 2023, the gain -- we had a relevant gain in Brazil, but we had an even bigger gain in international market which changed the dynamic of cost prices. So I think it's always a division that we find it more difficult to understand where it normalizes and what we can consider this as in terms not cyclical to think of a bit there from now on, so what can you bring in terms of detail so we can think of this business, this division, what would make -- what would -- what conditions that we have to think of this profitability that you delivered in 2024 as a profitability that somehow is more recurrent and where we have to think of this international margin that is sustainable. Thank you.
Miguel Gularte: Thank you so much. Isabella, Good morning. So when it comes to the first question, this inorganic growth, I believe that what I can tell you with regards to the acquisitions that we announced, it shouldn't be a surprise because we have been guiding you with regards to our pre-disposition to grow in terms of value added and processed products, not only for us to have more profitability in our portfolio, but for the company to become more resilient to you or the commodity props. I guess it's connected to the China plant. It's a processed plant that has room to grow even more when we contrast it with the structure that we have already. So I guess we can always extract more value of these kinds of products. The Gelprime case, I believe it's a bit different because it's the core. But we have three elements that justify these steps of the company. In this segment, we have profitabilities that are above our core business margins, historically speaking. So this would really favor us in terms of this consolidation vision. We understand that the growth of ingredients could be superior to the projected growth of our core business. And lastly, we understand that we have a competitive differential which is our raw material associated with the protein production, the animal skin. So these are the three elements that justify this acquisition. And this position of growing in the Middle East, this is something that we have been announcing, especially in Saudi Arabia. We also wanted to take part in the commercialization not only of the frozen poultry, but the fresh one. And we have already mapped lots of initiatives and how we can contribute to bring more efficiency to this operandi mode. So in terms of the value added, we have these different acquisitions that can strengthen the company considering the margins, but also how the company protects itself considering the historical results.
Fabio Mariano: Referring to the international segment, Isabella, good morning. We have seen a dynamic in 2024 and we believe that this will repeat again in 2025 when it comes to supply and demand. We have a balance, so whenever you have a balance, you have the conditions of maintaining your margins and in some occasions take opportunity of avenues of opportunities and make them to be successful. Something that it's important to highlight, if you look at 2024, you will see that the pig protein performed last compared to the poultry, something that 2025 started differently. We have seen the pig poultry or swine protein performing very well in the beginning of 2025. So we will have a more balanced scenario. There were some regions and geographies that we saw a small variation in terms of the poultry price. We saw the contrary happening considering pigs. So one is going to be -- one is going to upset the other for a period of time. So when poultry protein continue, we will recover the prices. We have seen this pricing recover in the poultry price. We will see these two outcomes either talking about pigs or poultry, these two proteins, they will perform very well, announcing a higher increase of price. At least this is something that we have been seeing in the short or medium term. There are different variables that we cannot control. But what I can assure you is that we are paying close attention to everything. We're very careful of not bearing inventory or without sales. We are continuing our process of new habilitations. It allows us to make better choices. In 2024, we closed 175 new features. So when it comes to the resiliency of international prices, obviously when you have 175 new destinations to send your product, you can choose, you have this choice capacity. So you can also have -- you develop this ability of maintaining prices much more than when you are -- you have to send your product to a specific market with a different consumption possibility. So, we see this changing, and we had over 70 new locations just in 2024.
Isabella Simonato: Okay, very clear. Thank you.
Operator: Thank you. Our next question comes from Renata Cabral of Citi. Please, your mic is open.
Renata Cabral: Good morning, Miguel, Fabio. Thank you so much for selecting my questions. I have two questions. The first is very quick. We saw the inventory levels increasing in the fourth quarter of 2024. If you could provide us with some ideas whether this is more related to the grain issue that you've mentioned already. And the second question, it's just a follow-up with regards to the last question of the new locations. We have seen all these figures in 2024, as Miguel was mentioning right now. But we would like to understand the dynamics for you to expand even more in 2025, if considering that 2024 we had great figures. So I'd like to ask specifically in terms of the exports potential for the United Kingdom, we have the authorization, but how can you see these perspectives connecting to the expectations for 2025. Thank you.
Miguel Gularte: I will start by answering the second question, and Fabio will go on with the first one. So these registrations, the new locations, they were decisive for 2024. We had a pipeline and our pipeline has a series of variables that are now connected to our desires and control. We have a pipeline of over -- of approximately 50 new registrations for 2025. When it comes to the United Kingdom, BRF nowadays has 13 plants that are registered for the United Kingdom, and we are working to keep registering new plants for this destination. It's important to remember that BRF is not yet registered for new venues in Europe. This is something that we would expect to happen in the next months or the new semesters. Nowadays, there's no reason for BRF to not take part in this market. It's a very important and relevant market, especially now that it shows very appealing prices and consumption formats. When it comes to this topic, it's also important to remember that we still have three plants in Rio Grande do Sul that cannot export to China because of Newcastle in 2024. We -- still not exporting to China even though this World Animal Organization has enabled us to do so and reported that this destination Rio Grande do Sul is legit, it can export to different places. However, for China, this is not available yet. So we are still a country and a state that cannot export to China, I mean from Rio Grande do Sul. I believe this is something that will change in 2025, at least this is what we expect.
Fabio Mariano: Good morning. When it comes to your first question with regards to the inventory, I'd like to say that we are reporting this information on 75 days that it's equivalent to the inventory return from last year. And if we compare to the third quarter of 2024, we had this time of 83 days. We do see a fall compared these moments. This drop has to do with this final numbers and also it's a result of the sales that happens during the holidays in Brazil. But I would like to say that the reduction of the inventory of finished products, it's part of our efficiency program, especially when it comes to this new management, we started in 2022 with an inventory of about 15,000 tons, and we finished 2024 with an inventory of finished products of 332,000 tons. So we have a reduction of 190,000, and if we think of a cost of BRL10, we are talking about a big reduction and obviously in a systematic way influenced the reduction of our debt. So we want to keep speaking up about these inventory return, optimize it. And it's important to say that during this period our service level improved. We didn't have any kind of problems like not having the products we know that before we had an access in terms of our inventory, but this is not happening anymore.
Renata Cabral: Okay, thank you so much.
Operator: The Q&A session is over. We would like to thank everyone's participation and hope you have a wonderful day.